Operator: Good morning and welcome to the Parex Resources 2015 Fourth Quarter Year-End Results Conference Call and Webcast. Parex released yesterday its audited financial and operating results for the year that ended December 31, 2015. Copies of the company’s consolidated financial statements and the related MD&A are available under the company’s profile at www.sedar.com and on the company’s website www.parexresources.com. Before turning the meeting over Mr. Wayne Foo, Chief Executive Officer of Parex Resources Incorporated, I would like to mention that this call is being recorded. So it will be available for playback at the company's website. Parex also would like to remind participants that all company’s continuous disclosure documents may be found on SEDAR or on its website. These documents provide complete information than what may be discussed during this call. Any remarks made by management during this call may contain forward-looking statements that are based on management's expectations, current beliefs and assumptions regarding Parex's future growth, results of operations, production, future capital, other expenditures, plans for and results of drilling activity, environmental matters, business prospects, opportunities, and transactions. Forward-looking statements involve significant known and unknown risks and uncertainties, which are fully disclosed in the company’s disclosure documents as previously mentioned. The information discussed today is made as of today’s date and time and Parex assumes no obligation to update or revise this information to reflect new events or circumstances except as required by law. Please note that at any time participants on the webcast can ask [ph] a question, under the ask the question tab at the company webcast interface and participants on the phone can press star, one. I would now like to turn the meeting over to Mr. Wayne Foo, Chief Executive Office of Parex Resources Incorporated. Please go ahead, Mr. Foo.
Wayne Foo: Thank you, Paul, and thank you all for joining us this morning. With me today is Ken Pinsky, our Chief Financial Officer and Mike Kruchten, our VP of Corporate Planning and Investor Relations. The format for today’s conference call will be a question-and-answer session with our audience. So we'll open the line to questions right away. Paul, back over to you.
Operator: Thank you. [Operator Instructions] The first question is from a participant. Participant please state your name and proceed with your question. Your line is now open. Participant if you are on mute, please unmute your line.
Kimberly Hedlin: Well, hi. It's Kim Hedlin from Canaccord.
Wayne Foo: Hi, Kim.
Kimberly Hedlin: Hi, great results. Just had a follow-up question on the Cano well. And whether you're seeing water production from there? I know you had mentioned that at your analyst day. And that was my question. Thanks guys.
Wayne Foo: I don't think, to best of my knowledge we're not seeing water cuts, certainly not a material water cut for Cano at this time. But there is nothing there that's causing us concern.
Kimberly Hedlin: Okay, thanks guys.
Operator: Thank you. [Operator Instructions] There are no further questions registered at this time. I would now like to turn the meeting back to Mr. Foo.
Wayne Foo: All right. Thank you Paul and thank you, those who've been on the call for interest in Parex and continued support of the company. For further information we invite you to visit our website or call us. Thanks again and have a good day. Paul back to you.